Operator: Good afternoon. My name is Kyle, and I'll be your conference operator today. At this time, I'd like to welcome everyone to the Fourth Quarter 2012 Stericycle Earnings Call. [Operator Instructions] Thank you. I'd now like to turn the call over to Laura Murphy, Vice President of Finance.
Laura A. Murphy: Welcome to Stericycle's quarterly conference call. Joining me on today's call will be Frank Ten Brink, CFO; Rich Kogler, COO; and Charlie Alutto, CEO. I will now read the Safe Harbor statement. Statements by Stericycle in this conference call that are not strictly historical are forward-looking. Forward-looking statements involve known and unknown risks and should be viewed with caution. Factors described in the company's Form 10-K, 10-Qs, as well as its other filings with the SEC, could affect the company's actual results and could cause the company's actual results to differ materially from expected results. The company makes no commitment to disclose any revisions to forward-looking statements or any facts, events or circumstances after this date that may bear upon forward-looking statements. I will now turn it over to Frank.
Frank J. M. Ten Brink: Thank you, Laura. The results for the fourth quarter are as follows: Revenues were $503.6 million, up 12.8% from $446.6 million in Q4 of '12; and internal growth, excluding returns and recall revenues, was up 8.4%. Domestic revenues were $355.6 million, of which $332.7 million was domestic regulated waste and compliance services and $22.8 million was recalls and returns. Domestic internal growth, excluding recalls and returns revenue, was up 10%, consisting of SQ up 11% and LQ up 9%. International revenues were $148.1 million, and internal growth adjusted for unfavorable exchange impact of $2.3 million was up 5%. Acquisitions contributed $31.1 million to the growth in the quarter. The gross profit was $227 million or 45.1% of revenues. SG&A expense, including amortization, was $95.6 million or 19% of revenues. Net interest expense was $13 million. Net income attributable to Stericycle was $70.1 million or $0.80 per share on an as-reported basis and $0.88 adjusted for acquisitions and other nonrecurring expenses. On the balance sheet. Our covenant debt-to-EBITDA ratio was 2.24 at the end of the quarter. The unused portion of the revolver debt at the end of the quarter was approximately $616 million. In the quarter, we repurchased 457,156 shares of common stock in the open market in an amount of $41.2 million, and we have authorization to purchase an additional 3.8 million shares. Our capital spend was $13.6 million, and our DSO was 59 days. The full year cash provided from operations was $387.4 million. And I will now turn it over to Rich.
Richard T. Kogler: Thanks, Frank. Worldwide, we continue to use our strong free cash flow to drive our growth through acquisitions. In the quarter, we closed 10 transactions, 5 domestic and 5 international. The international acquisitions consisted of 2 in Spain, 2 in the United Kingdom and 1 in Chile. Our worldwide acquisition pool remains robust with over $100 million in annualized revenues in multiple geographies and lines of business. At the end of the quarter, we had approximately 541,000 accounts, of which, approximately 525,000 were small and the remainder were large. The strong internal growth rates we experienced in this quarter resulted from more and more customers adopting our multiple services. One of our newer services contributing to growth is StrongPak. StrongPak is one of our regulated waste service offerings which helps retailers manage hazardous and pharmaceutical waste in a compliant manner. Increased regulatory scrutiny and fines for noncompliance have driven demand for StrongPak. We're excited about our future growth because our customers continue to adopt additional services such as StrongPak. These additional services can more than double or triple existing customer revenues. In closing, we want to thank our worldwide team for their strong performance in 2012. We're especially proud of our team members who were impacted by Hurricane Sandy. They continue to support our customers while their own lives were disrupted by the storm. Their actions demonstrate their strong commitment to our customers and their fellow team members. Now I'll turn it over to Charlie.
Charles A. Alutto: Thanks, Rich. I would now like to provide insight on our current outlook for 2013. Please keep in mind that these are forward-looking statements. Revenues from the 10 acquisitions were approximately $8.4 million in Q4, and annualized are approximately $50.5 million. Keep in mind, our 2013 guidance does not include future acquisitions, divestitures, integration and acquisition-related and other nonrecurring expenses. We believe analysts' EPS estimates will be in the range of $3.65 to $3.69, including the impact of the private placement which was funded in Q4. We believe analysts' revenue estimates for 2013 will be in the range of $2.11 billion to $2.14 billion, depending on assumptions for growth and foreign exchange rates. We anticipate 2013 internal growth rates to be: SQ, 8% to 10%; LQ, 5% to 8%; international, 5% to 8%; and recall and returns revenues between $105 million and $120 million. We believe analysts will have estimates for free cash flow between $353 million to $357 million. CapEx is anticipated to be between $65 million to $70 million. In closing, we are very pleased with our Q4 and 2012 results and excited about the multiple growth opportunities for 2013 and beyond. Thank you for your time today. Kyle, you can now open the Q&A line.
Operator: [Operator Instructions] Your first question comes from the line of Ryan Daniels from William Blair.
Ryan Daniels - William Blair & Company L.L.C., Research Division: Maybe, Frank, I'll start with a quick housekeeping for you. Does the extension or re-extension of the workers' opportunity tax credit have much of an impact on your thoughts for the effective tax rate for 2013?
Frank J. M. Ten Brink: No, for '13, our guidance is to remain at about the 36% as a tax rate.
Ryan Daniels - William Blair & Company L.L.C., Research Division: Okay, great. And then you mentioned specifically the StrongPak initiative kind of being novel in driving growth and you talked a little bit about that on the prior calls. Can you give us a little bit more color? I'm curious if that is all route-based pickup or do you have any mail-back solutions there, given that the retailers are probably producing less medical waste?
Richard T. Kogler: It's actually a route-based pickup for retail. And just to kind of give you a flavor for it, we purchased a company some years ago. We're now past the pilot phase, and we're offering the service nationwide, which is why it's becoming a strong growth driver. To give you some idea, there's about 750,000 retail locations that we can access as customers in the U.S. We estimate the market opportunity here could be slightly over $1 billion.
Ryan Daniels - William Blair & Company L.L.C., Research Division: And is that mostly waste-related, more delivery of health care in a retail location, so things like flu vaccinations that the pharmacies are doing more, or mini-clinic-type services or is it a lot broader than that kind of outside of medical waste and in other waste areas?
Charles A. Alutto: Yes, it's broader than that, Ryan. It would be items that maybe were mislabeled or returned, items that could have batteries as part of their offering. It could be a chemical. If you go into a lot of retail outlets, obviously, they sell a lot of cleaning chemicals, some of those are hazardous upon disposal, aerosols, just things of those nature. It's more of a lab packing and hazardous waste service. Obviously, we're leveraging that. Medical waste we're already picking up from some of these locations and some of the pharmaceutical waste we also get from those retail clinics that have pharmacies on-site.
Operator: Your next question comes from the line of Al Kaschalk from Wedbush Securities.
Albert Leo Kaschalk - Wedbush Securities Inc., Research Division: I would just want to focus on one area in particular and the multiple growth that you laid. You commented about '13 and '14. And on previous calls, you set us up for expectations on patient communication in particular. So maybe I'll throw it back to you as to what you want to elaborate on, but obviously that's an area of interest on our side and then also the StrongPak which you just talked about, which are things that you've talked about in the past. But what's helping the transition to services -- to get to multiple services? And are there any in particular that you want to call out? And then secondly, update us on the patient communication activity.
Charles A. Alutto: Yes, let me talk about 2013 growth drivers first. I think from a regulatory front, obviously, on the LQ side, pharmaceutical waste continues to do well, compliance continues to drive sales in the hospital market in the U.S. And then as Rich mentioned in his commentary around StrongPak, we certainly have benefited from regulatory action and fines that have been levered against some retailers in some of the states in the U.S. So that's certainly 2 areas where we see growth not only now at the end of 2012, but we anticipate continued growth in 2013. I think on the question you had on patient communications, Al, we obviously did a lot of studying in 2012. We feel really -- we're very excited about the opportunity. We're moving forward with this service for both our SQ and LQ customers. In 2013, we'll continue to make investments in this business. And long term, we see opportunity for both growth through acquisitions and internal growth. And then obviously, the main growth drivers continue. SQ being Steri-Safe, clinical services on the international front and the Sharps Management Service on the LQ side of the business.
Albert Leo Kaschalk - Wedbush Securities Inc., Research Division: Right. Charlie, in terms of the acquisition internal growth on patient communication, are you at a point right now and based on the studies and your history of the way you guys have invested in markets and services, do you have enough platform today to then start the niche acquisitions or smaller acquisitions? Or is this something that could be forthcoming in a little bit more larger size than say a $3 million or $4 million type transaction?
Charles A. Alutto: Yes. I think from a capability standpoint, we've done acquisitions obviously in 2011. And now, in 2012, that has given us a really good platform both on the SQ and the hospital, the LQ side of the business. So obviously, as we look at 2013, we'll look at this acquisition as a tuck-in strategy for the business going forward. So I think from a platform standpoint, we feel really good about the capabilities that we've built on the platforms we've acquired to this point. And now moving forward, we'll look to see if we can take some advantages from the synergies and deals going forward.
Albert Leo Kaschalk - Wedbush Securities Inc., Research Division: Okay. And then finally, if I may, could you talk about on the acquisition front in the quarter the composition of those not by geography, but by service mix?
Frank J. M. Ten Brink: I think the composition in this quarter was 20% SQ, 80% LQ. We had 10 deals, 5 were domestic, 5 were international. There was 1 in the patient communication field and 9 in the regulated waste.
Operator: Your next question comes from the line of Scott Schneeberger from Oppenheimer.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: Guys, jumping to StrongPak, I believe it was just mentioned that there are 750,000 retail locations that match the target market. I think you guys had said not too long ago you had at least 2,000. Are you open to giving us an update on how penetrated you are thus far?
Frank J. M. Ten Brink: We don't get detail-specific to the SQ and quantities by sector.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: Okay. And is that -- Frank, if you correct me, it's mostly done by chain, right? You nationally contract with a chain or is this more of a mom-and-pop situation on how you work with retailers?
Charles A. Alutto: Right now, Scott, it's been in the larger retailers, and we work by chain, not necessarily nationally. Some of these contracts are regionally based depending on the retailer and how they want to comply with the regulations. Obviously, some states are more stricter than other states from an enforcement standpoint. But don't necessarily think that because we have a chain, we have it nationally, it just -- it varies by customer.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: Okay. Switching up a little bit. For recall, a relatively soft quarter versus your run rate. And I notice you kept the guidance intact, any comments on how that's trending into January and just things that are going to be driving that in 2013, good or bad, please?
Richard T. Kogler: I think if you followed recall, and I know you have with us for several years, you recognize that it is a lumpy business, and we look at it on an annual basis. That's how we give our guidance, and that's really how we sort of look at that business. What we have noticed is that this year, for example, and towards the end of last year, the number of recalls, just sheer number of customers we're dealing with keeps increasing. In some quarters, the size or dollar amount of each recall can vary. But we think overall it's a very positive trend that long term, the more customers that we kind of bring into the family, the more opportunity we're going to have. And right now, our guidance is between 105 and 120 for the year.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: And then lastly on LQ growth, quite robust in the quarter. You maintained the guidance for 2013, but you also alluded to it being strong as you enter 2013. And you mentioned compliance driven and touched upon it a bit, but could you take us a level deeper as to really what's behind it, what's behind this elevated growth and how long you believe it can persist?
Richard T. Kogler: Well, I think as Charlie kind of alluded to, it's the -- call it the original growth drivers. The fact that Bio Systems or Sharps Management continues to be very well accepted. And then things like pharmaceutical waste, which has been hot all last year, continues and then we're moving into other directions too. I think those who follow us, and I know you do, we're conservative people, but we're very pleased with the growth we're seeing in SQ and LQ.
Operator: Your next question comes from the line of Shlomo Rosenbaum from Stifel, Nicolaus.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: Maybe you could comment a little bit about the margins. EBITDA margins started to come back up last quarter. They're up again sequentially by looks like 20 basis points this quarter. Could you talk about what changed? You were on a downward trajectory for about 1 year, 1.5 years. Last quarter, one of the comments you made was that patient communications started to be additive. Can you give us just more color on a sequential basis what's contributing to the margin expansion?
Frank J. M. Ten Brink: I think in the quarter, the sequential is really the gross margin improvement. So from a gross margin point of view, we had about overall a 23 basis points uptick just in the operational side of the business. Acquisitions and foreign exchange were at 3 point bps [ph] drags, almost nothing. So I think a lot of the lift in the quarter was the continued gross margin improvement in the business, operational and then selling the services with the higher margins at higher rates. So I think that continues to contribute. In the past, the slight drag in some of the quarters is really acquisition-driven and a mix of bringing those acquisitions on top of our business.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: So you have done a significant amount of acquisitions during this quarter as well. Is the -- is it less of a drag because they are -- maybe with medical waste, so there is less -- that's additive right away when you bring it into your business?
Frank J. M. Ten Brink: The average margins for the businesses that we bought this quarter were closer to company average.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then what was the litigation settlement for?
Frank J. M. Ten Brink: The litigation settlement was first of all for the New York that was announced and there were 2 others relating to prior acquisitions on litigation on those that we settled with people.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And just to follow up a little bit more on the patient communications question. Is patient communications continuing to be additive to the gross margin? Or where does that stand in terms of a proven-out business model?
Frank J. M. Ten Brink: As we've said in the past, the patient communication is improving nicely in gross margins. In total, it is about at a company average but coming up.
Operator: Your next question comes from the line of Jason Rogers from Great Lakes Review.
Jason Rogers: Looking at your other income, there's a slight amount of other income in the quarter versus an expense last year. I just wondered what was comprised of that?
Frank J. M. Ten Brink: Yes. As a result of the capital gains change rates, we had some notes with respect to sellers, that sellers wanted to accelerate at discounts that we took advantage of discounting those notes and that gave us about a $700,000 impact positive on that line.
Jason Rogers: Okay. And then looking at StrongPak, is there any potential there for a compliance type of program? Or is it just strictly medical -- I'm sorry, any other kind of waste pickup?
Charles A. Alutto: Yes, I mean we continue to look. Obviously, we've done a good job of selling compliance services on the SQ business. We are now selling compliance in a lot of our international markets. I think at this point, retailers just want to make sure they comply with their consent orders. So their first preference is for us to handle their waste and get it out. But we certainly think between our services, Jason, and the retail for StrongPak, obviously, when retail is pulling and retrieving items on the recall side, but down the road, there could be a service offering tied more to a compliance-type, Steri-Safe-type offering. But right now, the focus, rightly so for retailers, is complying with these regulations.
Operator: Your next question comes from the line of Kevin Steinke from Barrington Research.
Kevin M. Steinke - Barrington Research Associates, Inc., Research Division: Just wanted to follow up again on StrongPak here. Just wondering now that it's out of pilot stage, is there much more significant investment that needs to be made to continue to roll out that offering? And how much are you leveraging your existing infrastructure in terms of trucks and disposal facilities with that offering?
Richard T. Kogler: I think you just answered your first question. There's always investment that we make in all of our businesses, particularly the high growth ones. But we do have a good platform, it's not capital intensive. It's a route business, so as the business grows, you add trucks and labor and that sort of thing.
Kevin M. Steinke - Barrington Research Associates, Inc., Research Division: Okay. And I noticed in the quarter that SG&A, including amortization as a percentage of revenue, just ticked up a little bit sequentially to 19%. Just wondering if given the top line coming in strong in the quarter, if you decided to perhaps accelerate some investments and also how you might see SG&A as a percent of revenue trending in 2013?
Frank J. M. Ten Brink: Yes. So for the fourth quarter, the acquisitions we closed on and the related amortization of some of those added about 30 bps to that, so from 18.8%, 30 bps up, and then the remaining part of the business, excluding the acquisitions and related amortization, was about 10 bps down, so it gets you to roughly 19%. For 2013, I think overall, it should be maybe modeled at approximately 19% and that again includes amortization.
Charles A. Alutto: And I think, Kevin, if you look at it, if we think there's great opportunity, we'll reallocate those resources and make the investments we need to make to take advantage of the market. We're always looking at that.
Kevin M. Steinke - Barrington Research Associates, Inc., Research Division: Okay, great. And I don't know if you -- how much more detail you would want to get into, but I don't know if you could provide any more color on just the size and the nature of the patient communications acquisition that you made in the quarter. Did you add any new services or anything notable with that?
Charles A. Alutto: Yes. We did make a acquisition, as Frank said, in the patient communication space. This was a market leader in the hospital patient communication business. It enhances our capabilities in patient communication. To give you a little feel for it, we are now able to offer physician referrals, scheduling and post discharge calls, so it really rounds out our service offering in the patient communication space. We had some hospital contracts, through some other acquisitions that we made. But this clearly is the market leader in this space. And this acquisition is a focus on the hospital market.
Operator: Your next question comes from the line of Erin Wilson from Merrill Lynch.
Robert M. Willoughby - BofA Merrill Lynch, Research Division: Robert Willoughby sitting in for Erin Wilson. Frank and company, can you possibly give us any updates on developments overseas? What's worked well for you over the past couple of quarters? And what kind of changes or what should we focus on for 2013 as it relates to specific geographies or businesses gaining traction?
Charles A. Alutto: Yes. I think we continue to look at the geographies to build route density, Robert, so that's acquisitions in the SQ space. Clinical services, which is the Steri-Safe offering, we continue to penetrate that in markets like the U.K., Canada and Portugal. We're looking to expand that into the Spanish market. And then I think because we've got a large chunk of business on the LQ side, we continue to look at improving gross margins in the international space as well. Looking at service [indiscernible] pickup waste at those hospitals. But I think it's going to be overall looking at acquisitions for route density and looking to expand some of the additional services like Sharps Management, like clinical services into both the European and Latin America regions.
Robert M. Willoughby - BofA Merrill Lynch, Research Division: And any specific countries in mind? I know you're obviously big in the U.K. but where else is top 3 or 4 markets?
Charles A. Alutto: I think really we look at this in all the markets we're in. But if you look at size and opportunity, Spain, U.K. and Brazil are some of the larger markets that we're looking at right now. And then, we're always looking to expand in those geographies where we think there's good opportunity. Our focus continues to be in Northern Europe and in Latin America.
Operator: Your next question comes from the line of Gary Bisbee from Barclays.
Gary E. Bisbee - Barclays Capital, Research Division: I guess a couple of questions. First, the SQ and LQ both have been growing above the high end of the guidance for several quarters. And I understand you tend to be conservative, but is there anything in particular you'd point to that you expect to lead to deceleration other than tougher comps when you come up against these?
Frank J. M. Ten Brink: Well, nothing specific. I think it's just a range that we feel comfortable with. And no, there's nothing really specific that would drive that in any direction.
Gary E. Bisbee - Barclays Capital, Research Division: And then on the cross-selling success you've referenced throughout 2012, how do the economics compare to -- of a customer that uses multiple services versus only a single one or if it's easier to talk about just amongst the different ones? Are there some that are better than the core regulated way, some that are worse -- how do we think about that?
Frank J. M. Ten Brink: So if you look at a small customer, a base customer without Steri-Safe, may have margins in the mid- to high-50s; with Steri-Safe, that may double the revenue, and the entire margin may go mid- to high-60s. So that incremental revenue really improves the margins even further. With a large customer, a base med waste customer, margins may be in the mid- to low-20s. And any incremental services, like Sharps Management and the pharmaceutical waste, all increase that margin profile, and it can triple the revenue with that customer now.
Gary E. Bisbee - Barclays Capital, Research Division: Okay. And then there's probably some rounding involved, but I noticed LQ customer -- no, customer count didn't grow at all throughout 2012 despite some M&A. Is there -- have you been losing more -- and that's grown pretty nicely, pretty much every year I can see going back 10 years. So have you been culling some customers, losing some, or is it more something you point out rounding as being the reason for it?
Frank J. M. Ten Brink: No, I think your math must be wrong. Maybe I'll look at that with you after the call, but we went from about 15,600 to about 16,500.
Gary E. Bisbee - Barclays Capital, Research Division: Okay, all right. And just one last one, you referenced the New York Attorney General overcharging settlement or at least that's what the release we saw said. Can you give us any color on this in terms of how much of the company is government. And if there are contracts elsewhere where you don't specifically have pricing in the contract and thus could have some exposure to something like this?
Richard T. Kogler: Sure. This was an investigation that targeted really a small number of our government customers in New York, about 650. The New York Attorney General obviously alleged that we didn't follow our contract terms. We disagreed with him, but we made the business decision that to avoid legal expense, we would settle. And it is all now settled and behind us. We really don't see anything else to it.
Operator: Your next question comes from the line of Stewart Scharf from S&P Capital IQ.
Stewart Scharf - S&P Equity Research: Could you talk a little about the multiples for your acquisitions? And where were the acquisitions domestically?
Frank J. M. Ten Brink: Domestically, they were -- I don't have the specifically, but they were -- I don't -- I have to follow up with you there where geographically were. Internationally, 2 in Spain, 2 in the U.K. and 1 in Chile. Domestically, I know 1 was in Texas, but the other ones I can't remember. The multiple is anywhere from 4 to about a little over 9 on an NPV basis. A little bit at a higher end of the range on maybe one of those due to the strategic side of that acquisition, which really enhanced our capabilities, and the rest of those deals were really in the range of anywhere 4 to 6. And those again were multiples of EBITDA.
Stewart Scharf - S&P Equity Research: Okay. And then that's pretty much within range?
Frank J. M. Ten Brink: Yes, I think if you look for the year, we were totally in the range of 4 to 8 multiples, which has pretty historically been the same, so I think not really a change in how we do deals.
Stewart Scharf - S&P Equity Research: Okay. And then what's the pricing environment you're looking at like right now? Do you see it improving or competitive based on specific areas and markets?
Frank J. M. Ten Brink: I think on the deals, we really don't see a change. The pricing in the market, overall, Europe and the U.S. on multiples. I mean, the competition remains the same but with historically, again, and that 5 to 8 multiple is very normal for us on the deals.
Stewart Scharf - S&P Equity Research: And in general pricing in the industry?
Frank J. M. Ten Brink: No real change.
Stewart Scharf - S&P Equity Research: Pretty much the same.
Frank J. M. Ten Brink: Yes.
Operator: Your next question comes from the line of David Lewis from Morgan Stanley.
David R. Lewis - Morgan Stanley, Research Division: Frank, just want to come back to EBITDA margins again heading into '13, just thinking about your SG&A comments, it does sound like in the back half of '12, specifically in the fourth quarter, gross margin was a positive tailwind that dropped through to EBITDA. As you think about '13, should we be thinking about EBITDA margins that are flattish with 2012 trends or would you expect gross margin mix to be beneficial in '13?
Frank J. M. Ten Brink: If you look overall, I think normally Q1 from a gross margin as comparison to Q4 has been normally been a little bit flat for us historically, and we anticipate the same again in '13. And then the remaining of the year, we're kind of holding that SG&A at that 19%, you should see a year-end-over-year-end of that 40 to 60 basis point improvement in the total business. And that presumes again no acquisitions and no changes in things like surcharges or foreign exchange rates.
David R. Lewis - Morgan Stanley, Research Division: Okay, very helpful. And then, Frank, just given the small changes in the capital structure across the quarter, any sense of where interest expense should come out roughly for '13?
Frank J. M. Ten Brink: Yes, I think you do need to adjust for the picture of the private placement, so I think your interest expense is probably for the year somewhere going to be in the 54.5 to 55.
David R. Lewis - Morgan Stanley, Research Division: Perfect, very helpful. And just maybe one last strategic question for Charlie or Rich. As we think about the mix of acquisition backlog o U.S. to U.S., I mean I wonder if you can give us sort of any qualitative or quantitative color on how that mix has shifted or how you would expect that mix to shift perhaps in '13 or beyond?
Charles A. Alutto: Yes, Dave, I don't think it really has changed much. I mean, we still have a lot of opportunities left in the U.S. We remain active in the international markets that we're in today, and we continue to look at new geographies. So we really haven't seen any changes to that mix in what's available. Obviously, the pipeline remains well over $100 million in opportunity.
David R. Lewis - Morgan Stanley, Research Division: And do you still think the emerging markets specifically remain less important to the company than some of the European markets or more developed markets outside the U.S. at least for the next couple of years?
Charles A. Alutto: I think for the next couple of years, our focus will be more in the markets like Europe and Latin America, but we continue to look at the emerging markets as an opportunity in the next 3 to 5 years. We're certainly watching it, and we'll see how that develops.
Operator: Your next question comes from the line of David Manthey from Robert Baird.
David J. Manthey - Robert W. Baird & Co. Incorporated, Research Division: In the recall business, I know you can handle everything from food to RV parts, but is there any aspect of that business that requires additional technology or expertise or anything you could either develop internally or acquire or are you pretty much set there from a growth standpoint?
Richard T. Kogler: We're set.
David J. Manthey - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then second, on the patient communications business, how scalable is that business? I'm wondering -- you mentioned the improved profitability there. Does the profitability in that segment move up and down as you grow and absorb capacity? And does that flex around or is it more automated or have a bigger fixed component where the -- once the profitability is set higher, it'll remain higher over time?
Frank J. M. Ten Brink: I think you need to look at it incrementally so you improve from where you are. There's definitely, with technology and efficiencies and the tools that people use, room for improvement. And we have already have shown that to ourselves in 2012 during the year when we have started integrating some of the acquisitions, so this is where you continuously will look as an increase. You may get some business that again you acquire that start out lower and then you bring them up. So it presumes again on the same platform that you can grow and you can improve the profitability with acquisitions than being mix changes.
David J. Manthey - Robert W. Baird & Co. Incorporated, Research Division: Okay. But from an organic investment standpoint, there's not big chunks of costs that need to go in and be absorbed. It's fairly scalable over time, so if you flex your costs up with your revenues going up, the profitability should continue to move up and to the right?
Frank J. M. Ten Brink: Yes. And it is a business that overall is really a lower capital-intensive business.
Operator: Your next question comes from the line of Al Kaschalk from Wedbush Securities.
Albert Leo Kaschalk - Wedbush Securities Inc., Research Division: Charlie and Rich, maybe all the team I guess, on terms of -- just to clarify, first of all, StrongPak and lab pack, are those -- StrongPak is the brand name or trade name, or am I confusing the 2 here?
Charles A. Alutto: Yes. I think -- well, the service offering is called StrongPak. It is like a lab pack-type service. So when we go to these retail outlets, Al, they could be co-mingling different types of waste into one container as they're holding it at their site. But as we're transporting it, per DOT regulations, we will separate those into different waste streams. And those familiar with the waste industry, sometimes that's called lab-packing that material. So it's just we're using that term, but it's called StrongPak. Our service offering is called StrongPak.
Albert Leo Kaschalk - Wedbush Securities Inc., Research Division: Got it, right. Okay. So how -- maybe appreciate and obviously there's a component here that's customer driven. But how far away from -- I'm just trying to understand strategically how big these types of businesses could be down the road? Because obviously we know the traditional market share that you have and the waste services on pharma, medical, et cetera, and then the LQ growth and SQ growth. But these ancillary and incremental services, is this geared towards more the medical pharma side or more industrial, nonpharma, nonmedical business?
Charles A. Alutto: This is more -- the StrongPak is more towards the retail setting. But if you look at opportunity, I mean, we think that opportunity -- it's early on, but we believe it's an opportunity sort of incrementally of greater than $1 billion just in the U.S. And it's really nonmedical waste type of opportunity.
Operator: There are no further questions at this time.
Charles A. Alutto: Thanks, Kyle. Well thank you, everyone, for participating today. We look forward to speaking to everyone again in April. Take care, and have a good night.
Operator: This concludes today's conference call. You may now disconnect.